Operator: Good afternoon, ladies and gentlemen. And welcome to the Gulf Island’s Conference Call to discuss Third Quarter 2021 results. All participants will be in listen-only mode for the duration of the call. This call is being recorded. And at this time, I’d like to turn the floor over to Ms. Cindi Cook for opening remarks and instructions. Cindi, please go ahead.
Cindi Cook: Thank you, and good afternoon. I would like to welcome everyone to our third quarter 2021 teleconference. Our results were released this afternoon and a copy of the press release is available on our website at gulfisland.com. A replay of today’s call will be available on our website after 7:00 PM this evening. Please keep in mind that the press release and certain comments on this call include forward-looking statements. And actual results may differ materially. We would like to refer everyone to the cautionary language included in our press release and to the risk factors described in our 2020 Form 10-K and subsequent SEC filings. Please also note that management may reference adjusted net income, EBITDA, adjusted EBITDA, new project awards and backlog on this call, which are financial measures not recognized under U.S. GAAP. As required by SEC rules and regulations to the extent used, these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our press release. Today, we have Mr. Richard Heo, President and CEO; and Mr. Wes Stockton Executive Vice President and CFO. Mr. Heo?
Richard Heo: Thank you, Cindy. Good afternoon, everyone, and welcome to our third quarter results conference call. I’m happy to be here with you this afternoon, and I hope that each of you and your families are continuing to stay healthy and safe. During today’s call provide an update on the impact of Hurricane Ida. The progress we’ve made on our strategic priorities, including an update on the next phase of our business transformation in market opportunities and the status of our key projects and wind down of the Shipyard business. Wes will then discuss our quarter results in greater detail. We’ll then open up the call for questions and conclude with some closing remarks. Before getting to our results, I want to first provide an update on the impact of Hurricane Ida and the status of our business restart. Hurricane Ida made landfall on August 29, delivering winds of 150 miles per hour. Just shy of being classified as a Category five storm. Our facility in Houma, Louisiana was in our direct path and our facility and the surrounding communities suffered significant wind and rain damage. Almost a million residents in Louisiana lost power and our facility and Houma, and many of the local surrounding communities did not have power restored for almost a month after Ida made landfall. Gulf Island has a long history of conducting operations in South Louisiana and substantial experience managing through catastrophic weather events and their aftermath. I have referenced many times the resilience and dedication of our people, and I got to see this firsthand after the storm. I visited the community and our facility a few days after Ida made landfall and witnessed the destruction firsthand. I saw a 100 year old oak trees and in majority of the power lines down and more tragically, complete loss of homes. The devastation was significant, but our employees were back to work as quickly as they were able, focusing on the cleanup and rebuild of our facility. I am grateful for their sacrifice and contribution. This was a devastating storm, but through the hard work and dedication of our employees, I’m happy to report that we currently have over 90% of the pre-Hurricane headcount back to work and we’re delivering on our commitments to our clients. As we will discuss shortly, despite the challenges, we were able to report another quarter of solid execution in our Fabrication & Services division, which highlights the strong foundation we are building in this business. In addition, we are also able to continue making meaningful progress on our strategic transformation, which I will now discuss. As I highlighted last quarter, we have made considerable progress on the first phase of our strategic plan, which included improving our risk profile, strengthening our liquidity, improving our resource utilization and project execution, and reducing our reliance on offshore oil and gas. We’ll continue to build on these initiatives, but we have now shifted our focus to the next phase of our strategic plan, which has centered on generating predictable and profitable growth. We will accomplish this goal by focusing on the following additional initiatives, pursuing new growth end markets, diversifying and growing our services business, further strengthening project execution and expanding our skilled craft workforce. I will not provide an update on the progress we have made on these four key objectives over the last three months. First, in terms of our new growth end markets, the company is focusing it’s near term business development efforts on higher growth end markets such as LNG and petrochemicals. New business activity is robust and a number of large projects are moving toward final investment decisions over the next three to six months. In addition, we are beginning to see increased inquiries in bidding activity in hydrogen and renewable fuels related to rapidly growing energy transition initiatives, given our capabilities and geographic location we are strategically situated to pursue these market opportunities along the Gulf Coast and we’re excited about our prospects. Second, we have already seen our efforts in diversifying and expanding our services business payoff, we have expanded our customer base for our existing offshore services business, when you cruise serving new customers. In addition, we are making progress in our efforts to build relationships with the OEMs of specialized equipment readily used by our customers. We have already established a framework within OEM to train our service professionals on their equipment and while not yet significant, we will see revenue in the fourth quarter from this key partnership. We expect this initiative to gain momentum as our customers continue to evaluate ways to consolidate their contractor base and reduce their overall cost of operation. Third, our Fabrication & Services division continues to make significant progress on their project execution, which was all the more impressive this quarter given the impacts of Hurricane Ida. The division’s projects continue to deliver better than their as old estimates and exceeded my expectations for the quarter. Without the impacts of Hurricane Ida, which negatively impacted our utilization levels and productivity for much of September, our results for the division would have further exceeded expectations. Our focused on the continued strengthening of our project management, processes and procedures, which will drive higher margins and improve new award win rates. Lastly, we’re focused on finding ways to expand our skilled craft workforce. Similar to other industries that rely on skilled labor, we’re faced with the challenges of attracting strong craft professionals and are continuing to look for creative ways to retain and to expand our skilled labor. Our existing workforce is incredibly loyal and we are using the base of employees to attract new customers and employees. In addition, the expansion of our services business should also benefit our efforts to attract new craft labor. The services business is more predictable and provides the assurance of underpinning work, providing more certainty for our skilled craft labor, which helps drive recruitment and retention. Moving on, I’d like to provide additional detail on activity we are seeing in our Fabrication & Services end markets. We are extremely encouraged by the trends in our targeted markets as bidding activity has continued to gain momentum in recent months, there will be a significant number of large projects coming to market in the coming months and years and given the scarcity of labor in our strategic positioning, we are excited about the opportunity this presents for Gulf Island. The LNG market continues to represent our most attractive near term opportunity as we have discussed before, there are a number of large LNG projects in Texas and in Louisiana that could provide attractive opportunities for the company. And we have recently seen a significant pickup in bidding activity. Given the scale of these projects, we are often bidding on numerous scopes to different contractors for the entire complex, providing us flexibility and multiple potential awards on these larger capital projects. We continue to be excited about the prospects for the LNG market, and we hope to have some good news to share in the coming quarters. While LNG and petrochemical represent our most attractive near term opportunities for new awards, we believe the energy transition movement will provide a significant opportunity for growth in the coming years. Although given the rapidly evolving trends in these markets, the opportunities may not be as far off as they seem just a few months ago. We are seeing bidding activity in sustainable energy end markets pickup and we have started doing engage the end-users and licensers to demonstrate Gulf Island’s value proposition to their projects. Many of the customers see our ability to scale up and our proximity to project locations and nearby ports as opportunities where we bring value. Specifically, we are seeing activity and interest in hydrogen projects and other sustainable technologies, such as carbon capture and renewable fuels. There have been recent announcements of large capital projects in Louisiana focused on these green initiatives, and we are well-positioned to participate as these prospects further develop in our backyard with continued robustness in the crude and natural gas markets, we’re also starting to see capital spending being discussed by customers in our traditional markets as such we’ll continue our business development efforts on our existing customer base, as well as expanding into adjacent end markets focused on customers who value our geographic location key resources in our home yard and our skilled craft labor force. With respect to our services business, we are very encouraged with the early progress we made and growing this business, which is a key part of our growth strategy. Given the more stable and predictable nature of this business. Given the strength in crude oil and gas prices, we have begun to see an increase in activity from our existing offshore customer base and are also seeing opportunities with new customers. However, similar to the rest of our business, the biggest hurdle for success, maybe the availability of craft labor. We’re working with local trade schools to ensure that we have equality of the next generation craft professionals, along with investing opportunities to tap into other geographic markets and recruit seasoned craft professionals, looking to capitalize on the anticipated in near term growth. I’ve mentioned scarcity of labor a couple of times. So, I do want to be clear about how we are thinking about the challenges of labor availability and how we are incorporating this into our strategy, and bidding on new projects. Large fabrication projects can often have durations of 18 months to 24 months and are typically bid at a fixed price. As a result, the future projects will likely be executed in an even more difficult labor environment. At the same time, we’re fully aware that labor availability will be at a premium in the coming years as a significant number of projects will be coming to market. So, we want to remain patient with our most critical asset our people, this is all to say that we may lose some project opportunities in the near term, but we will maintain our discipline and pricing the labor risks in our estimates. Make sure we receive an adequate return on our projects and consider the opportunity costs of each project. We have worked hard to improve our project execution in recent years, and we will continue to adhere to the significant new policies and procedures we put in place that drove these improvements to ensure we remain disciplined during this important time in the company’s transformation. Now turning to the Shipyard division. Our 70 seventy-vehicle ferry project for the Texas Department of Transportation was impacted by increased forecast costs and forecast liquidated damages primarily associated with extension of schedule and associated duration related costs, including supervision and subcontractors services costs. The impacts were primarily due to lower than anticipated progress on the project due in part to COVID-19 and a Hurricane Ida. We have submitted claims to our customers to extend our project schedule and recover the increased forecast cost associated with the impacts of previous customer directed changes and COVID-19 and Hurricane Ida. We’re continuing to work with the customer to reach a favorable resolution. The ferry is currently scheduled to be completed in the third quarter of 2022. The continued delays and increased costs on Texas dot are disappointing, but they remain manageable. As we move out of the construction phase and into outfitting and get closer to completing the final contract obligations, I’m confident we have the right team and plan to successfully drive this project to completion. With respect to our two forty-vehicle ferry projects, our teams continue to make it progress. The second ferry is undergoing piping modifications directed by the customer to address the previously mentioned design challenges as we work toward our commissioning and delivery in December. We have seen positive progress on the construction of the first ferry and look to build on this progress to deliver her in the third quarter of 2022. As previously discussed in July, we filed a lawsuit in North Carolina for a breach of contract based on the deficiencies in design, in an attempt to recover the increased costs and extensions of schedule resulting from the design related impacts. I feel we have a strong case and look forward to a favorable outcome for Gulf Island. Overall, I’m very pleased with the progress we have made on our strategic plan and how Gulf Island is positioned for the future. It is very early and we’re not prepared to provide a detailed outlook for 2022, but we are encouraged by what we are seeing in our markets. I believe we’re in a very good position to take advantage of the improving market trends, which combined with the significant progress we have made on our internal initiatives should position the company for improved results in 2022. I will now turn the call over to Wes to discuss a quarterly results in greater detail.
Wes Stockton: Thanks Richard, and good afternoon, everyone. I will discuss our consolidated results and then provide some additional details regarding our segment results. Putting in context, the factors mentioned by Richard and their impact on the quarter, I will then conclude with a discussion of our liquidity. Please note that unless otherwise specified all financial information, reference relates only to our continuing operations. Consolidated revenue for the third quarter of 2021 was $19.6 million, a 19% sequential decrease compared to the second quarter of 2021, and 23% decline from the third quarter 2020 with the year-over-year decrease primarily attributable to our Shipyard division. Consolidated operating loss for the third quarter was $3.7 million and EBITDA was a loss of $2.6 million representing a positive contribution from our Fabrication & Services division it was offset by losses attributable to our retained Shipyard operations. Specifically for the Fabrication & Services division revenue for the third quarter of 2021 was $17.3 million, a decrease of $952,000 compared to the third quarter 2020. The decrease was primarily due to the completion of two large projects and lower revenue from our marine docking structures project, partially offset by higher small scale fabrication and offshore services activity. Fabrication & Services EBITDA for the third quarter was $1.4 million despite the year-over-year revenue decline, but the EBITDA benefiting from a favorable margin mix and strong project performance, including project improvements of $1.1 million on two projects, one of which is now complete. Our project execution for the division was solid. These benefits were partially offset by low volume levels and the under utilization of the divisions facilities and resources. Divisions utilization for the third quarter was negatively impacted relative to the sequential quarter, due to the temporary closure of our facilities for much of September due to Hurricane Ida. Despite the impacts of the storm overall utilization for the third quarter was comparable to the prior period with higher offshore services activity being offset by lower fabrication activity. We expect improvements in utilization in the fourth quarter, 2021 relative to the third quarter, due to an anticipated rebound and activity following Hurricane Ida. However, the improvement will be modest as low fabrication backlog and the typical seasonality impacting fourth quarter services activity will weigh on utilization levels. As in recent quarters, although that the division’s overall utilization continues to be challenged. Our cost reduction initiatives and consolidation efforts have enabled us to partially mitigate the impact of the low utilization rates, and us to generate year-over-year margin improvement despite lower revenue volume. We continue to look for additional opportunities to improve execution and reduce overhead costs to improve our operating leverage as volumes recover. Now, turning to our Shipyard division. Revenue was $2.3 million for the third quarter and relates entirely to our three ferry projects. Operating loss for the quarter was $1.9 million and included net project charges of $1.3 million associated primarily with our seventy-vehicle ferry project and vessel holding costs and legal fees of approximately 400,000 associated with our MPSV contract to speed. The third quarter also included charges of approximately 400,000 associated with deductibles and other costs related to damage caused by Hurricane Ida to our second forty-vehicle ferry project and the MPSV’s that are in our possession and certain bulkheads where the vessels were more. For our Corporate division operating loss for the third quarter was $2.2 million and was impacted by cost to pursue initiatives to diversify and enhance our business and the temporary under utilization of our resources. As we evaluate our resource requirements to support feature operations. With respect to our liquidity, during the third quarter, we received forgiveness of $8.9 million of our PPP loan plus accrued interest and repaid the remaining balance. And accordingly we ended the quarter with a cash balance of almost $74 million and no debt. At quarter end, we continue to have approximately $11 million of net liabilities attributable to our Shipyard operations. We expect to satisfy most of these liabilities over the next nine months as we wind down our Shipyard operations, partially offsetting this anticipated use of cash for the Shipyard wind down will be an additional $2.2 million of deferred transaction consideration due from voluntary related to the Shipyard transaction of which $1.3 million was received in October and the remainder is expected to be received in the first quarter of 2022. As it relates to Hurricane Ida and its feature cash flow impacts. We continue to work with our insurance providers and advisors to assess the full extent of the damage caused by the storm and evaluate our insurance coverage amounts. Currently we expect a future use of cash associated with deductibles and other costs related to damage caused to buildings and equipment and the previously mentioned vessels in bulkheads. These deductible amounts range from approximately $3 million to $4.5 million in the aggregate. Finally, turning to our outlook for the remainder of 2021. We continue to be encouraged by the progress of our strategic initiatives and are optimistic about new award opportunities given the current bidding environment, but in the near term, given our current low backlog and the uncertainties around the time and the new awards, we continue to anticipate sequentially lower fourth quarter revenue for our Fabrication & Services division, which combined with the continued near term under utilization of our facilities and resources will result in operating losses for the fourth quarter. However, we continue to be well positioned to pursue our growth strategy as we expect to exit the year with a cash balance of $60 million to $65 million, which is consistent with our previous expectations. This concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Thank you. [Operator Instructions] And we’ll go to our first question from JP Geygan of Global Value Investment Corporation.
JP Geygan: Thank you. And good afternoon, gentlemen. It seems like the business is reaching an inflection point and although that’s not been born out in your financial results yet from some of the comments you made in your press release and your prepared remarks regarding your service arrangements and smaller fabrication projects, it seems like we’re right on the precipice of that. As you reflect on what, how the business has developed over the past four to six quarters, what has really moved the needle?
Richard Heo: Hi, good afternoon, JP. I really think it’s, it’s all about discipline knowing what we’re bidding and having a plan on that, execution plan and executing to our plan. I think that our team has done a fantastic job of recognizing the things that, we are estimating in terms of new awards and they’re executing to our plan. So, you’ve seen here quarter-after-quarter that the projects that, that we bid under my watch they’re executing to their plan and delivering better than the as old estimate. So, I’m really excited about the execution. Now, it’s just a matter of bringing in bigger volume of new awards and continuing to execute.
JP Geygan: You’ve talked at length about LNG and petrochemical projects on the Gulf coast. It seemed from your prepared remarks that hydrogen and perhaps even wind power might be factoring in to your future expectations in a more expedient manner than previously thought. Can you characterize your bidding activities or if not bidding activities, at least early customer engagement by type of end project generally?
Richard Heo: What do you mean by end project generally, JP?
JP Geygan: Are you most active in LNG or hydrogen or wind or whatever it be, or what is kind of the breadth of your engagement currently look like?
Richard Heo: Yes, I would say the big immediate volume of work in the next 18 months to 24 months that will be material and impactful for our business is going to be around LNG and petrochemicals. It just because of the sheer size of a project that, that those prospects are tied to as far as the hydrogen and some of the sustainable energies that we’re chasing, those are still further out while they have made announcements in the news with regard to project development that there’s still in my opinion far away from FID. So at that those prospects are probably more two to three years out, and we are engaging with engineering companies and licensors and developers on those prospects. So, if I look at it from a kind of a chronological order, the LNG and petrochemicals are the near term, which will impact our business in the next 18 months to 24 months. And the sustainable more specifically hydrogen projects that we are chasing. Those are probably 24 months to 36 months out.
JP Geygan: Okay. Of course, your geographic location and the scale of your facilities positioned you well for competitively bidding, LNG and petchem projects. Do you think those same competitive advantages apply to other areas like hydrogen or when they might be looking at?
Richard Heo: Yes. for example, we had a interesting customer conversation last week where basically this customer has a technology where they’re smaller modules, what we call truckable or skiddable modules and kind of our industry. And they’ve gone to a more private, smaller mom-and-pop fabricator. The problem is that now they’re starting to look at scale that market has picked up so much that they’re going to have to build a lot more of these while they, that the contractors that they went to can’t provide that capacity. And so, another way to say it is that we’re now, because of the size of our asset, we have the ability to go after smaller modules, but a much larger volume, which gives these licensors and engineering companies, some surety of inventory and schedule a production.
JP Geygan: Got it. Thanks. Final question. And this is really on your cash balance or perhaps capital allocation in general. You talked about some of the near-term uses of cash and anticipate ending the year with $60 million to $65 million in cash, of course, in a business like yours, some amount of that needs to be tied up for working capital, given the types of projects in which you engage, but can you more generally talk about use of cash in the medium to long-term and capital allocation in general?
Richard Heo: Sure. JP. So, we will use some of that cash in 2022 to fund the deductibles associated with the Hurricane Ida impacts. We’re not anticipating much of that in the fourth quarter, I think most of that will come in 2022. So that’d be a bit of it. Obviously we’ve got to wind down the Shipyard operations and in my prepared remarks, I mentioned that that liability sets right around $11 million, or I guess, $9 million net of the proceeds that we were still do from Ballinger. And then beyond that, as we’ve mentioned on previous calls, we do have some limitations on what we can use to do with the cash. It can’t be used because of our mortgage agreement with our surety, it can’t be used for dividends or buying back stock, but what it can be used for is to grow the business and invest in other opportunities, even inorganic opportunities to grow the business or invest in technology or other things to make us more efficient. So that’s our plan. That’s, we’re looking for opportunities the best use for that cash. And in the near term here and in the long-term, just kind of the same model we’ll apply.
JP Geygan: Great. Thanks. I appreciate the additional comments.
Richard Heo: Great. Thanks, JP.
Operator: And we’ll hear next from Tony Christ of Odyssey Investments. Tony, your line is open. Please. Go ahead. It looks like Tony has removed himself from the queue. We’ll go next to John Disher [ph] of Pinnacle.
Unidentified Analyst: Good afternoon, everyone.
Richard Heo: Hey good afternoon John.
Unidentified Analyst: It looks like you’re making solid progress. I just wanted to circle back for a second to Ida make sure I understand the status there. You mentioned 90% of the headcount is back to work. Is all of the equipment functional. I know there was some serious water issues is power back on. In other words, are you back to being 100% operational from an equipment standpoint.
Richard Heo: We’re essentially 100% operational from an equipment standpoint, John, luckily, we did not have severe flood damaged in our facility. It was mostly wind. And so we do have some, minor damage on certain equipment that we are having to consider repairing, but functionally, I would say we are close to 100% up and running on the equipment. The infrastructure is a different story. As you can imagine, the buildings in of itself in terms of shells and structure, we are assessing those damages working with insurance companies and prioritizing their repair or the degree of repair as we look at the workload coming forward. So right now, none of that is getting in the way of if any of the commitments to our customers and from a headcount standpoint, as we stated in our prepared remarks majority of the employees are back in the office working or in the shops working.
Unidentified Analyst: Okay, good. That’s encouraging. Go ahead.
Wes Stockton: John. Sorry, just the way that’s going to manifest itself, as you think about the fourth quarter and going into 2022 from a P&L perspective, I talked to the cash implications of that as it relates to the deductibles associated with the vessels and the bulkheads those deductibles range from about a $1 million to $1.5 million, and we expensed 400,000 of that, this quarter, the rest of that, if we were to incur those deductibles, we would expense when we incur those, the other deductibles associated with the building and equipment that Richard just mentioned, those run $2 million to $3 million in the aggregate, and whether or not that manifests itself as an income statement item or capital item will largely depend on the nature of the capital. I mean, if we significantly it’s extend the useful life of an asset for example, that would be a capital item. If it’s more akin to a typical maintenance or repair, then we’ll expense it. So, I just want to give some insights that we will have some ongoing impacts on our income statement related to this. But obviously we view these as one, one-time items that, we hope we won’t see again here in the near term.
Unidentified Analyst: Alright. Let’s hope so. Have you actually made claims to the insurance company yet?
Wes Stockton: Yes, sir. Yes. We’re working through that as you can just imagine what the devastation in the region everyone’s busy, our adjusters are busy. So we’re, we’ve been working with them from day one, so it’s just a process we’re going through.
Unidentified Analyst: Right. Okay. So it’s not going to be resolved by year end, but most likely in Q1, do you think?
Wes Stockton: I think that’s a reasonable estimation. That’s what we would hope to do well to have as much optionality as we can by year end. But it wouldn’t surprise me if some of that rolled over into the first quarter.
Unidentified Analyst: Right. Okay. Yes. It would be helpful to have a, range or of estimates at urine that we can use going forward if possible. That’s all I have. Thanks.
Wes Stockton: Thanks, John.
Operator: And we’ll go to Tony Christ with Odyssey investments.
Tony Christ: Hello. Great job with the Hurricane and everything. Richard, I was, I wanted to know if you can give any more color regarding our bids, the contracts we’re bidding for in particular like the size of them. I think on a previous conversation, you said you’re striving to get about a 10% gross margin. And anything else you can, I know you can’t give too much because they’re competitive and others are bidding them too, but I guess just the size and the number of contracts that we have in the mill would be helpful?
Richard Heo: Yes, no, thanks for that, Tony. So, so what I would like to clarify is that when Tony asks, I guess you’re asking, Tony more about our fabrication business, that the larger module. Well, one thing that I will note is, is our services business, which gets underserved, I guess in terms of the Q&A, because it’s just doesn’t have the large volume it’s doing really well. I mean, we were at a point where we could use more, more craft and, I know our HR teams listening they’ve got that the heavy burden of going and looking for craft laborers to service all these accounts that, that need our expertise. And so that, business in 2022 and 2023 at what the oil price is today in the Gulf of Mexico is a growth engine. We are highly bullish on that services business, albeit top line in terms of volume, it’s slower than fabrication. That is a business that we’ll see, you know, strong 2020, 2023 performance on the larger fabrication, just to give you some perspective. And as we answered for JP, really the next 18 months to 24 months is going to be impacted by LNG and petrochemical. And just to give you some context, as you guys have seen that follow this market, there’s a lot of large developers working on off take agreements with LNG and they are moving toward FID. And, and I believe that that if not one or two of these projects are going to move to FID. Hopefully by the end of the year or the first quarter, on an LNG project, just to give you some frame of reference we’re talking about, just from a module standpoint, 50,000 tons, just ballpark number of modules, our capacity on an annualized basis is only 10,000. And so it really does give you some context, one large LNG project can satisfy the capacity of B and three other competitors, a ballpark. And we’re not only talking about modules that are on the process side, they’re structural steel associated with mooring civil structures, and then also highly technical process modules from specialty contractors. So really what I’m trying to convey is that there is going to be, if any of these large LNG projects move forward, I expect them to do here very short and very short fashion. There’s going to be ample opportunity for Gulf Island to get their fair share.
Tony Christ: And would that represent just in dollars, a $100 million, $200 million? What or if you can give some rough idea, we’re not going to, I’m not going to hold anyone to anything just to I know you said they’re very large, but 
Richard Heo: Yes, top line they’re in that $50 million to $100 million contract value top-line value.
Tony Christ: Right. Well, great. Thank you. Thank you so much. Keep up.
Richard Heo: Thank you, Tony.
Tony Christ: Yep. Bye.
Operator: And so this concludes today’s question and answer session. At this time, I would like to turn the conference back over to Mr. Heo for any additional comments.
Richard Heo: Thank you. In closing, I want to thank our customers and shareholders for their continued support, as well as recognize our employees continue to demonstrate a commitment to Gulf, Island success. I saw this firsthand this quarter, and I am excited about our future with such a dedicated team. As in markets continue to improve. I’m confident that we will win our fair share of project opportunities. For those on the call, thanks again for your interest. And I look forward to speaking with you on our fourth quarter results conference call and updating you on our progress. Be safe and take care.
Operator: And this concludes today’s Gulf Island call. Thank you for your participation. You may now disconnect.